Operator: Ladies and gentlemen, thank you for standing by. Welcome to Datto's First Quarter 2021 Earnings Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] And please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Mr. Ryan Burkart, Director of Investor Relations. Please go ahead.
Ryan Burkart: Thank you, operator. Good afternoon, everyone, and thank you for joining us today to review Datto's first quarter 2021 financial results. With me on the call, today are Tim Weller, our Chief Executive Officer; and John Abbot, our Chief Financial Officer. During this call, we may make statements related to our business that would be considered forward-looking statements under federal securities laws, including projections of future operating results for our second quarter ending June 30, 2021, and full year ending December 31, 2021. As a result of a number of factors, actual results may differ materially from those projected in such statements. These factors are set forth in the earnings release that we issued today, under the section captioned forward-looking statements. And these and other important risk factors are described more fully in our reports filed with the Securities and Exchange Commission. We encourage all investors to read our SEC filings. The following statements reflect our views only as of today, and should not be relied upon as representing our views as of any subsequent date. In addition, Datto undertakes no obligation to publicly update or revise any forward-looking statements made here. Additionally, non-GAAP financial measures will be discussed on this conference call. A reconciliation of these non-GAAP financial measures to the most directly comparable GAAP financial measures is available in our fourth quarter and full year 2020 earnings press release, which can be found on our Investor Relations website. A financial supplement and webcast of today's call are also available on our Investor Relations website. I would also like to inform you that we will be participating in several investor conferences coming up in June including the William Blair Growth Stock Conference, the Evercore ISI TMT Conference and the Bank of America Global Technology Conference. Please reach out to me if you're interested joining our schedule. With that, I'd like to turn the call over to our Chief Executive Officer, Tim Weller. Tim?
Tim Weller: Thank you. Ryan, and many thanks to everyone for joining us on the call this afternoon. We are excited to report strong Q1 results and an improved outlook for 2021. I'll begin with a few highlights from the quarter, followed by comments on Datto Commerce, our latest product launch, and then I'll update you on two key things for 2021 Cloud and Security. Finally, I'll turn the call over to john to discuss our financial results and guidance in more detail. This year started on a strong note as momentum from Q4 carried into Q1 with total revenue growth of 16% and subscription revenue growth of 17%, year-over-year. We saw strength across our entire product suite led by continued rebounding of our BCDR products and strong growth in our SaaS protection and RMM products, driven by the powerful trends of digital transformation and cyber resilience. We ended the quarter with $573 million of ARR, which represents a higher sequential increase than in the previous quarter. We view this as a key leading indicator of revenue reacceleration. In Q1 adjusted EBITDA was $47 million and we generated more than $24 million of free cash flow representing our fourth consecutive quarter of positive free cash flow. In addition, the number of MSP partners we serve grew to 17,300, up 300 from the end of 2020. As you know we have a largest pure play IT solutions provider to the MSP community. And we are dedicated to serving this channel every day in our sales and support motions. And in creating technology, which is purpose built for the managed service provider channel. We provide MSPs with mission-critical sell through solutions for their SMB customers, software tools to run their own businesses efficiently and a wealth of resources to grow their businesses and expand their margins. We never go around to MSP to sell directly to their SMB customers. And that has established unique highly aligned relationships that we have spent years building one-by-one. We are more than just another vendor to MSPs, we are their trusted partner. No other company of our sale can deliver on that promise to MSPs. And it creates a major barrier to entry for potential competitors. Let me now briefly touch on our most recent product launch Datto Commerce into the North American market. Datto Commerce is a real-time quoting and procurement platform for MSPs that increases their efficiency and profitability. It simplifies how MSP's quote, sell and procure. With Datto Commerce, we follow our well established playbook of how we enter networking, RMM, SaaS protection and security with small acquisitions of great teams and differentiated technology that we tailored for MSPs. We purchased the commerce technology in the middle of 2020. And we operated it in Australia, New Zealand last year, while adapting it to the unique demands of the North American market before commercially launching in April. Consistent with our open ecosystem philosophy, Datto Commerce will work on virtually any PSA RMM platforms partners are using. And of course, it integrates seamlessly with Datto's PSA and RMM software. I should also give a shout out to the Datto PSA and RMM teams for landing in the upper right quadrant of the Canalys Research point-of-view grid. Meanwhile, Forrester Research recently concluded that the average payback period for Datto Partners on an investment in our integrated solutions of unified continuity PSA and RMM is less than six months with a very high ROI. Before I turn the call over to John to run through our financial results and outlook, I wanted to leave you with some thoughts on two key themes for 2021, Cloud and security. Datto help MSPs and their SMB clients in securing digital assets, both applications and data, we protect those assets, help manage those assets and validate that protection, and help users to connect to those assets. Protect, manage, connect, all our products work together in that common goal of securing digital assets. Let's talk about cloud. Our software services are cloud-managed, and delivered as SaaS applications. We operate our own exabyte scale Datto Cloud that gives us the advantages of cost, flexibility and control. Our partners and the SMB clients they serve are at various stages of their own cloud journeys that will operate for the most part in hybrid cloud environments for the foreseeable future. What we offer our partners is the ability to secure digital assets in a hybrid cloud world, no matter where data and applications live. We believe our ability to offer a unified predictable experience across disparate environments is important to our partners who in many cases, manage digital assets that run on premises for high performance in private clouds in M 365, and Google Workspaces and sometimes in the public cloud. The next step for us in hybrid cloud protection is our Azure continuity product, which will give our partners the public cloud workloads, the same highly reliable data continuity, performance, and robust security that they have come to trust from Datto. Our Azure product is on track for beta and Q2 and partner demand is very encouraging. We expect Azure to broaden our market opportunity for unified continuity and contribute to our ongoing reacceleration. I look forward to sharing more in coming quarters. Finally, let's talk about security. Continuity as we deliver it fits squarely into any security framework. Because we're involved in application and data recoveries every week, many of which are a result of Ransomware or other cyberattacks. Continuity used to be primarily providing protection against server crashes, internet outages or the occasional natural disaster, now as defense against active cyber threats. I've always described Continuity of the last line of defense of security. With our launch of Ransomware for RMM and Q4 in the acquisition of BitDam in Q1, we are accelerating our path in the other areas of security beyond just recovery. With each new offering we plan to bring MSP's strong margin opportunities, and they protect our SMB clients and monetize security. The early evidence is good. Partner demand for our new Ransomware detection and isolation feature for Datto RMM continues to grow with just under 500,000 endpoints now protected almost double from 250,000 less than a quarter ago. We're also helping our partners shape their cyber resilience roadmaps with thought leadership for MSPs in the form of content webinars and events, like our recent MSP Tech Day on cyber resilience. The event delivered a deep dive into cybersecurity business continuity and incident response to help MSPs and their SMB clients protect against growing cyber threats. Our leadership and security expands beyond our sponsored events to the international arena, where Datto serves as a founding member of the Ransomware Task Force, a broad coalition of experts in industry, government, law enforcement, and international organizations coming together in the fight against Ransomware. The taskforce recently released its report and an event where the U.S. Secretary of Homeland Security addressed an audience of U.S. policymakers and others, with recommendations on how to confront this urgent national security risk for countries around the world. Our own SISO's participation, shift the taskforce guidance for MSPs and SMBs. to recommend financial funding and support to help MSPs develop cyber resilience capabilities among other critical measures. Closer to home, we continue to make ever increasing investments to ensure that our own infrastructure practices and products are secured to the highest standards. In summary, I couldn't be more pleased with our Q1 results and see good momentum across the business. We remain as committed as ever to our MSP partners and see many opportunities to help them grow their businesses with margin enhancing sell through products, and to operate more efficiently with our PSA, Commerce and RMM products. Cloud and security have always been fundamental with Datto. And will continue to invest in these areas to extract away their inherent complexity and turn them into growth and margin opportunities for MSP partners. Thank you for your interest in Datto and the MSP story. With that, I'll turn the call over to John to take you through our financial results and outlook. John?
John Abbot: Thank you, Tim. And good afternoon, everyone. We're pleased to report strong first quarter results. And as I review our numbers today, please note that I'll be referring to non-GAAP metrics unless otherwise specified. You can find a reconciliation of non-GAAP measures to GAAP measures in the press release that we issued this afternoon and in the supplemental financials posted on our website. Our first quarter results reflect strong execution from our team and continued momentum across our whole suite of products. First quarter recurring subscription revenue was $135.6 million, up 17% year-over-year, which includes a benefit from favorable foreign exchange rates of approximately 3%. Subscription revenue comprised 94% of our total revenue of $144.9 million in the quarter, exceeding the high end of our previous guidance. ARR at March 31 was $572.5 million, up 15% from $498.4 million a year ago, and importantly, increased $30 million sequentially. This included a benefit of approximately $4 million from our annual ARR currency exchange rate recalibration. Excluding this FX impact ARR increased $26 million dollars sequentially, up from $20 million in Q4 of 2020 and $16 million in Q3, providing continued evidence of the reacceleration of the business. We ended the first quarter with more than 17,300 MSP partners, a net increase of 600 year-over-year and an increase of 300 sequentially. We're encouraged by the return to growth in MSP partners in the first quarter, and believe the increased churn associated with the pandemic is now largely behind us. We also grew the number of MSPs contributing over $100,000 in ARR to more than 1150, up from 1000 a year ago. Our sell through model continues to drive strong growth within our installed base of partners as they roll out Datto Solutions to more SMBs. Those SMBs consume more data or seeds. And they both adopt more Datto products. Our first quarter gross margins of 75% were up from 71% in Q1 2020 driven by the operating leverage we're realizing in our 24/7 support function and increased efficiencies in the infrastructure supporting our software solutions. First quarter operating expenses were $69.6 million, a slight reduction from Q1 last year, reflecting a lower cost structure during the pandemic. Within OpEx, sales and marketing expenses were $29.6 million, a slight decline from $31.3 million in Q1 2020. R&D expenses were $17.6 million, an increase from $16.4 million in Q1 2020. G&A expenses were $20.2 million, an increase from $19.5 million in Q1, 2020 and now include public company costs. And finally, depreciation expense within operating expenses was $2.1 million, compared to $2.5 million in Q1, 2020. Operating income for the first quarter was $39.4 million, or 27% of revenue compared to $18.6 million or 15% of revenue in Q1 2020. Adjusted EBITDA for the quarter, which excludes stock-based compensation restructuring cost in transaction expenses, was $46.9 million, compared to $25 million in Q1 2020. In recalibrating our cost structure during COVID and as a result of ongoing efficiency initiatives, we expanded our adjusted EBITDA margins to 32% a significant increase from 20% in Q1 2020. As we discussed on our last earnings call, we're investing in cloud and security to drive revenue growth. And its commercial activity returns to pre-pandemic levels, we expect adjusted EBITDA margins will revert to levels in the low to mid-20% range. Free cash flow in the quarter was positive $24.5 million, compared to negative $15.2 million in q1 2020. And we ended the quarter with just over $149 million in cash. Turning to guidance for the second quarter and full year 2021. The solid profitability and structural operating leverage in our business provides ample capacity for us to continue investing in technology innovation, go-to-market resources and scaling infrastructure to support and sustain our long-term growth and expand our leadership position in the market. Our 2021 guidance continues to include the impact of incremental investments in the important areas of cloud and security. For the second quarter of 2021, revenue is expected to be in the range of $146 million to $148 million. Adjusted EBITDA is expected to be in the range of $34 to $35 million. For the full year 2021, we're raising our revenue guidance to a range of $594 million to $600 million. And we're also raising our adjusted EBITDA guidance to a range of $134 million to $138 million. Our Q2 revenue guidance represents year-over-year growth of 18% at the midpoint inclusive of a 3% FX tailwind. And our full year revenue guidance represents year-over-year growth of 15% at the midpoint inclusive of a 2% FX tailwind. It's important to remember that Q2 2020 was our lowest revenue quarter last year as a result of COVID impact, making that an easier comparison this year. We expect subscription revenue to account for over 90% of total revenue in 2021 and capital expenses, to be in the high-single digit percentage range of revenue. As a reminder, for non-GAAP income taxes, we use an effective tax rate of 25%. For calculating EPS, we estimate approximately 170 million fully diluted shares for Q2, and 175 million fully diluted shares for the full year. In closing, we believe our q1 results in 2021 guidance reflect the ongoing reacceleration of the business. We're very excited about our momentum going into the rest of the year. And look forward to reporting on our progress in the quarters to come. With that. We'll open up the call for questions. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Sanjit Singh - Morgan Stanley.
Sanjit Singh: Thank you for taking the questions. And first off congrats to the team on a really great Q1. I think particularly impressive was the net ARR performance this quarter, even though sort of normalized for the FX benefit. So my question Tim is, if you could speak to end market demand? And how that may have changed to that across the portfolio and during the quarter? And was there any sort of onetime items or benefits we should be thinking about that may have benefited Q1?
Tim Weller: Yeah, thank you. I'll ask John to doodle on whether there are some onetime or other than what he said, I don't think so. But it's always been a little tough for us. We can survey the base, of course. But when you have 17,000, plus partners dealing with hundreds of 1000s of SMBs, for every story you have a partner struggling to have one is having a record year. So I think we just have a general sense across regions that reopening is occurring step-by-step. And we think that was the case here. I can't point to any, for example, a good breath across the product lines in terms of growth. So it's not one breakout superstar with good, good international rebalancing, and good domestic. So I don't think I stick my neck out and say it was any one thing. But clearly, the longer the pandemic goes on and work-from-home or particular, the SMBs need more and more on the technology front. And at the same time, we're optimistic. We'll get additional reacceleration, once MSPs are able to get out of their home cage, so to speak, and start seeing more of their customers and maybe a little bit of that for our team as well. So I wish I had something more specific there for you. But John, I don't know anything beyond what you said in the prepared remarks? You want to add?
John Abbot: No extraordinary onetime items. The FX was the one point we wanted to call out. But even as you say, excluding the FX, it was a terrific order and a great increase in ARR. It's really just a continuation of the reacceleration in the business that we've been seeing that we've been talking about. And Tim mentioned before that BCDR had a nice rebound in Q4 and that's continued. And we continue to see great strength in Datto's protection in RMM with great contributions from other products, as well. So it's - since had really across the board products, geographies, continued momentum.
Sanjit Singh: Appreciate the context on both of those fronts. And next item I want to hit was around security one, and cloud number two. Obviously, the country is going through another headline pretty meaningful Ransomware attack that has a lot of customers looking for solutions. I wanted to get a sense, Tim, in terms of sort of meeting what is likely to be incremental demand on this front around Ransomware attacks? How the security offering is positioned? I know BCDR kind of plays into that as well. But in terms of your security efforts, are you in a position - is the business in a position to help customers meet that challenge when it comes to Ransomware?
Tim Weller: Yeah. No question about it. And we highlighted, I think Sanjit, very strong our intentions on the last call. What a difference a year makes that I think the headlines you and I read are sort of scary. And that's being processed by SMBs as an increased willingness to pay some money for security beyond maybe the antivirus they've had in there for 15 years. So that's absolutely rippling through. And I think you're going to see MSPs now trying to figure out what's their full stack, and starting to view themselves as basically security companies. If you can't protect your SMB, all the rest of the creature comforts and Zoom conference calls or whatever solutions you're providing start to not matter. I think we've had good exposure here. You've heard me from the IPO and were talked about security as the last line of defense. And, considering the Continuity as a last line of defense and a security strategy, I'll call that the recovery phase. But by then something bad is happened. And now in Ransomware, we're finding out, we can get on the front end of that on the prevention side. And so, a couple of data points that give you. One is our kind of state of the industry report. The MSPs, last year listed Ransomware as the number one problem facing MSPs. And that's before all the recent round of half a dozen visible attacks. I think the Homeland Security Secretary just warned of increasing Ransomware risk to SMBs. And our own SISO, we've put out a release has joined the founding member of the Ransomware Task Force. They just put their report out. And it's just everywhere. And we're pleased to see that I think some government monies is even going to be coming this way as well. So it's not just the SMBs MSPs themselves have exposure. And if you get your hands on their assets, then that can be recognized. So it's up basically in every conversation. I would leave it there and we think we're in good shape to capitalize on it.
Sanjit Singh: Understood. Thanks, Tim. And congrats on the quarter.
Tim Weller: Thank you.
Operator: Your next question comes from Saket Kalia with Barclays.
Saket Kalia: Hey, guys, thanks for taking my questions here. Hey, how you doing? Hey, Tim, maybe first for you. Maybe just accepting one particular part of the ARR. It was great to see the customer ads start to increase again, right. Not just from last quarter where we had some pandemic related churn, but even above the run-rate that we saw through 2020. And so maybe the question is, how do you sort of feel anecdotally about the pipeline here for customer adds over the next couple quarters?
Tim Weller: Good. Thank you, Saket. And, hello. I think we noted in the past couple of quarterly calls, but even when we first met you a year ago, gross MSP adds were solid throughout 2020. It's not going to gross ads question. Pandemic comes along Q2, Q3, see some disruption at the lower end of our base, with some MSPs were struggling. And, we tightened our credit policies et cetera. So now that most of that has passed. We're seeing net MSPs growing and we would expect that dynamic and normal economy, normal markets to continue. There's still plenty of MSPs out there. A lot of runway, when you think about 125,000 plus MSPs, globally. So we're optimistic on that front.
Saket Kalia: Got it. That makes a lot of sense. John, maybe my follow up for you. Understanding you don't guide to net new ARR. Is there anything you want to call out seasonally, or - I mean, you call that FX doesn't sound like there any other anomalies that we should be thinking about. But just sort of broad brush, how should we sort of be thinking about modeling ARR or net new ARR kind of through the rest of 2021? Because you have some caught, you know, easier comps and recovery and such. So, any sort of color you could give on how we should think about ARR as the year sort of progresses?
John Abbot: Yeah, that's a good question, Saket. Thanks. And historically as I think you may know, we actually had a sawtooth pattern with ARR climbing each quarter, Q1 through Q4, and then falling slightly again in Q1 before starting to grow again. Obviously, this year in Q1, we didn't follow that pattern. We had a very strong quarter, even without the impact of FX. $26 million increase was the second highest ARR increase ever. And we think that reflects the strong momentum we're seeing in our business. As you said, we don't guide the ARR, but we've guided to higher revenue range in Q2 and for the full year. And, obviously, ARR is a leading indicator of revenue. And we're focused on continuing to drive higher growth in ARR, which we view is that leading indicator, and driver of the revenue growth. As you can imagine, that will always come in a straight linear increase. But we do believe the overall trend will be up and consistent with our theme of re-acceleration.
Saket Kalia: Very helpful, guys. Thanks again.
John Abbot: Thank you.
Operator: Your next question comes from line of Matt Hedberg with RBC Capital Markets.
Matt Hedberg: Great. Thanks for taking my question, guys. Tim, I wanted to ask you about Datto Commerce. You had a press release out on it earlier, and you obviously referenced it in your script. I know you don't talk specifically about pricing, that's up to the MSPs. Can you talk about the mechanism for pricing? How might MSP prices relative to your other solutions?
Tim Weller: Yeah, it's a great question Matt. This is at the moment, what I would describe in the sell through category. So it's a subscription that they're buying, to help them with a pain point in terms of just sheer time that. If you've got dozens or hundreds of customers, and an MSP, buying those laptops, buying the mouse, dealing with all of that things are broken, getting that procurement function that we all have at larger companies. And then is abstracted away from us. That's front and center for MSPs. It's noise at the Help Desk level and takes a lot of time. So we found this tool we acquired last year. And put it into a platform now it's in North America and Australia, New Zealand. And effectively it's a flat rate subscription price. So on the one hand, we think it's going to be a great revenue opportunity. On the other hand, it fits into our strategy of platforms for MSPs. In some cases, we give them some platforms, email platforms, other marketing, digital content. In this case, we thought there was a real revenue opportunity there and obviously starts to put us in the flow of their purchasing cycles connects perfectly back into Autotask PSA on our end, but it's also an open ecosystem tool that's consistent with our theme as a company, and so connection to other PSAs as well. So we think about it as kind of getting into the top of their workflow.
Matt Hedberg: That's great. It really seems super complimentary and additive to your stack. I guess one more product question. Now that Unified Continuity is available on Azure. I'm curious, what did you learn from your beta testing? What sort of feedback did you get? And it's probably hard to dissipate what the demands going to be like for that, but just sort of curious, on maybe that aspect of kind of what you've learned?
Tim Weller: Yeah, so first, let me just calibrate on the last question. That we'll go into beta and Q2. So, gathering those names, now we come out of alpha and in the beta. And the learnings we've had so far, though, we've been live with many partners now for four months. I think around obviously first and foremost, technology, we want to make sure it's as bulletproof of a solution as our on-premise and private cloud solutions are. And I think our confidence there is high. Candidly, the second set of learnings is around what MSPs are struggling with in their move to Azure. So you can find a few start dialing and MSPs that have moved everything to Azure, I love that. You can find MSPs that are 75-25, 25-75. You can find MSPs that move there and came back. And they just have a variety of technology, business process and economic challenges, where economic being interesting. You don't quite know what your six month, Azure though is going to look like as it goes up, not down. And so I think now understanding their journeys as MSPs and that the journeys of different workloads into the cloud, has been very insightful for us. We've never thought there was going to be a magic quarter magic year, what kind of everything moved to the cloud. It's going to be this multi-year, drawn out journey. And our goal is to abstract away all of that for them so that their continuity solution is a little bit indifferent as to whether it's on-prem private cloud Azure. And I think we're - I think we're getting increasingly confident that's going to happen. We have these guys looking at screenshots, we're into the details of their texts and what have you. So that's what the summaries about those are broader, much deeper beta that kind of get that last bit and polish on it.
Matt Hedberg: Got it. Great to hear. Congrats on the acceleration, guys.
Tim Weller: Thank you.
Operator: Your next question comes from line of Jason Ader with William Blair.
Jason Ader: Yeah, good afternoon. Tim, I was wondering how you thought that the emerging labor shortage? I mean, I don't know, we have enough data to safely say there's a labor shortage. But I'm wondering, have you thought about this? And what impact it might have on SMB IT outsourcing, as SMBs cannot get people?
Tim Weller: It's a great question. I don't know if we've - I mean, other than everyday it's a war for talents, everybody's facing the same thing. To me the rise of the MSP and you know I talked about this even in the think piece we did last year. The rise of the MSP is really around SMBs having trouble getting technology. And the rise of Datto and other vendors serving MSP that even MSPs are having trouble getting the right kind of technology talent. So it can't be helping SMBs it has to be helping MSPs. I do think you see the strength we got for example, in SaaS protection and RMM and some of our other cloud products. The more you can kind of geo shift, so to speak and bring the tech to you, in terms of dashboards and other things to the more you can really pressure on that. But it's not a question we've asked as exclusively as you have. And I see the same signs. There's definitely a shortage. And you can multiply that by some factor when you get into tech and security.
Jason Ader: And as you guys had - have you been hiring and if you had any difficulties hiring?
Tim Weller: So far, so good. It's valuable, but we have a very large sourcing and recruiting team. And we've been hiring in a very good clip. And I think you'll see that in our quarterly numbers as we roll forward. So far, so good. Obviously, we've had to maintain more geographic flexibility than we might have a year ago, but that's a theme for every tech company we know.
Jason Ader: Okay, great. And then, one quick one for John. John, you said the FX adjustment in Q1 was $4 million. What was it a year ago, in the Q1 of a year ago?
John Abbot: Let me circle back to you. Yeah, you may have skill. I was ready to talk about Q4 and I was ready to talk about full year last year, I didn't have Q1 right in front of me. It was a bit less of an impact last year - in quarter the last year. I know that the pattern last year it was a headwind in the first part of the year. And then a tailwind at the end of the year. I want to say Q4, it was a tailwind of about 1%. And for the full year, it was about zero. So maybe that gives you a little bit of some kind of shade.
Jason Ader: Perfect, thank you.
Operator: Next question comes from line of Cozy Akida [ph] with Bank of America.
Unidentified Analyst: Hey, guys, thanks for taking my question. Really nice quarter. Just, I wanted to dig into a prior question on that Commerce application and the pricing mechanism. And maybe coming at it from a different angle too. When I look at the products that over here with this Commerce, I see, quote, sell and procure. And one of the first things that pops into my mind is invoices and payments. I guess, is there - is that something that you guys think about as a potential monetization lever that you could add to this Commerce platform?
Tim Weller: Absolutely. There's a number of ways this could go. For us job one is, you got build out the platform. You got to build up the MSPs. And then you build out the platform for connecting all the different vendors into that platform. So there's a lot of plumbing work to do, even before you get to the sell and procure part, which we're particularly good at. And we think we're very uniquely good at the procure side of that. The quoting is what generates the volume. You think about being an MSP and the customers are calling or emailing, hey, I need to get XYZ, or maybe you're calling them saying you need a new Dell server. Here's what it looks like. It's a big ticket item. You're constantly having to send those quotes across track those quotes, get the approvals. And so the tool starts at the very top of that funnel, but downstream, you're spot on. There's a number of interesting ways to go with it. So right now we're sort of trying to build the base set at the top of the funnel, so to speak.
Unidentified Analyst: Got it. Thank you. That's very helpful. And I wanted to ask the question on the MSP Tech Day. It sounds like this is the fourth Tech Day that you guys had. I guess any sort of feedback that you got from the MSP there? And maybe any sort of color from the number of attendees from this event versus maybe the prior events, either in an absolute or from a qualitative perspective? Thank you.
Tim Weller: Yeah, what was interesting about it for me is it was a slightly lower attendance than Continuity, and RMM that the previous two that we've done. But given that, at the time, we only had just announced Ransomware, we have very limited specific security offerings, that the number was much, much bigger than we could have imagined. So we've had our SISO and our team out there, doing thought leadership on security for a couple of years with MSPs. And it's probably twice as large as our previous largest webinar. And I know the size of our webinars is comparable to anybody that's in the security business. So I think it represents, Datto has been talking about security, our concentric rings model, protect Datto first, then protect MSPs then, and only then get to revenue opportunities. We're in the concentric circle three now. Here comes Datto with some actual sell through revenue opportunities for us. And we obviously announced BitDam acquisition concurrent with that as well. So it was meant to signal a new era with Datto and we're going to try to get some revenue and margin in the MSP's pockets as the security becomes more and more of a focus. So that's added color I gave you.
Unidentified Analyst: No, thank you. Very helpful. Thanks again. And nice quarter, guys.
Tim Weller: Thank you, sir.
Operator: Your next question comes one of Kirk Materne with Evercore ISI.
Kirk Materne: Yeah, thanks. And I echo the congrats on the quarter. Tim, I was wondering if you could talk a little bit about some of the progress you're making if that sort of high end of your MSP customer base? Obviously, the economy's reopening, that obviously helps on the sell through business. But do you think within that sort of upper cohort or quartile, however you have discovered that the MSP is paying you over 100 grant [ph] a year. Do you feel like you're taking share with them from a wallet perspective? And is there any particular product in general that you feel like you're doing better with those kind of bigger clients of yours or partners rather?
Tim Weller: Yeah, it's a good question. I don't think they talked to us. They, they all tend to play it a little close to the vest. So I don't think they talked to us about wallet share and where else they are. We obviously at an account level with the rep have a good sense. The very largest ones tend to not be completely standardized. If they're serving hundreds of customers, they inherit when they inherit, whether it's networking, or the Continuity Solutions. And so you're working your way through that from a penetration perspective. Definitely, that piece of the base grows as faster than company though. And so you could definitely assume where we're gaining overall share in that part of the base. And at the same time, it can be a little misleading. 100,000. Sounds vague, but you could imagine us moving upstream into million dollar plus sort of accounts as time goes on, too. So as we glue the product sets together, I do think people are starting to think about us in a different way with that number of big displacements. For example, up there where we beat a competitor and immediately get a couple of larger accounts, which is unusual. Most of the start small medium, and then we grow them. And I think we're feeling more confident in our ability to sort of execute a little bit of market. But otherwise, all the different segments have grown pretty nicely for us. And we still focus on the whole spectrum.
Kirk Materne: Okay, that's helpful. And John, you guys obviously have had a nice lift in gross margins. What should we think about on that front? I know, obviously, with people going back to the office spending coming back adjusted EBITDA in general is going to come back down a little bit. But just as we think about gross margins? Is there anything we should consider as the product mix maybe shifts a little bit as we go forward over the next year two? Thanks?
John Abbot: It's a good question, Kirk? Yeah, obviously, very good gross margin in the quarters 78% non-GAAP versus 71% last year. And overall, we're pleased with the progress we've made on gross margins. And I think that does, on the one hand, reflect the underlying strength of the business model. And the great work that teams done in driving operating leverage, both in the 24/7 support team and delivering increased efficiencies in the infrastructure that supports all our software solutions. But we're approaching long-term target levels today that we've talked about. And so as we do, I think there are a couple things to keep in mind. One, new products have the potential to average in some slightly lower margin, at least out of the box, than we're seeing on the on the more mature products. But on the other hand, as we move to more products that don't require devices, that's obviously going to continue to be beneficial the margins. And as you point out, certainly expenses related to COVID remain low, like travel events, office expenses. Not a lot of that is up in the cost of revenue, but there is a little bit. So hopefully that help some.
Kirk Materne: That's great. Thanks, guys. Congrats on quarter.
John Abbot: Thank you.
Operator: Your next question comes from line of Keith Bachman with Bank of Montreal.
Keith Bachman: Hi, many. Thanks, Tim, I want to drag the first question to you in on the backup opportunity that you see in front of you. First just clarification, when do you think there will be GA? And then the real question is, how do you frame the growth potential? I know a previous question surrounded pricing. And I was just wondering how much is Microsoft pricing of its own solution? How much do you think about that in terms of how you price your offering? And the second part of that is how do you think about the growth potential here in terms of workloads migrating from on-premise to Azure over say, the next two years? And just trying to understand what the growth potential here might be? And then have a follow up for John, if I could?
Tim Weller: Thanks, Keith. It's a great question. We think of it right now, as a large new net demand opportunity for us in terms of MSPs and clients that are in Azure and not being well served. Microsoft has kind of a lower end, what I'll call backup solution, you check the box and you have to do something if you move in Azure. And then they've got a little higher end, more complete solution. Our general goal is to be functionally well above that solution, and price wise make it sort of competitive. So that the MSP knows are getting a premium product as they always do from Datto. It's not a discount. But again, they tie it back into how they manage their on-premise business and all their other loads, whether it's in their data center, a regional data center, rack space, et cetera. So becomes this hybrid cloud protection solution. We obviously then add one thing that Microsoft wouldn't which is we have a Datto Cloud. It's a multi-cloud replication and, not storing all your eggs in one basket. It is anywhere from desirable for MSPs to even mandated in some cases that everything can't be in one cloud. So I would think of it initially as large net new demand. It's not going to be our ammo to run into the market on the first day and say, okay, safe to come into the Azure waters, everybody rushed over there. I do think as we get operating experience and we do expect to be partners with Microsoft, and we would be very happy to help people. And I think a really top-end Continuity Solution will absolutely help some of the larger and more sophisticated MSPs go to Azure faster. So we and Microsoft both think it's net new demand on the migration front too.
Keith Bachman: Okay. And then just any comments on GA. And maybe I'll sneak in my question to John, if I could at the same time. John, just a clarification. I just wondered what the FX was that was embedded in the guidance. I looked at the last transcript, and I didn't see any comments on what the expectations were for FX, in either Q1 or the calendar year '21. And if there's now two points of FX, that's about $10 million of new revenue, which is about the same amount as the guide raised. But if you could just clarify, perhaps I missed it. But I didn't see any comments. So if you could just clarify the two points that you're now expecting in '21, versus what you'd previously been expecting?
Tim Weller: So Keith, on the GA question we've just said second half, I think part of the timing and answer will be related to how the beta goes. And then what hear and, we definitely don't want to launch something that we don't think is really robust and at the Datto quality. So I think the other thing is it's a bit of a continuum. The Datto starts, it expands, it expands an early adopter will definitely signal you when it's commercial availability and ready to buy retail off the shelf. But for right now, we'll probably just stick with sometime later this year.
Keith Bachman: John, if you?
John Abbot: Yeah. Keith, fair question. We did not talk about FX impact last quarter in the guidance. And our current guidance absolutely did reflect an assumption on FX. And it did assume a tailwind from FX in that guidance. But I would say our increase in the guidance is predominantly driven by strong operating momentum in the business. Not a big change in FX view.
Keith Bachman: Okay, thank you, John.
John Abbot: Yeah.
Operator: Your next question comes from line of Gregg Moskowitz with Mizuho. .
Tim Weller: Hey, Gregg. We lose you?
Gregg Moskowitz: Hey, Tim. I'm sorry, I was on mute. The 2020 Zoom coming back to me. But congrats, as well a very good quarter. So, my first question Tim, is just on Datto Commerce. Initially I know, it's designed as a sell through product. And my question is, do you have interest in extending this to a sell through product? And if so, how difficult would that be from an engineering perspective?
Tim Weller: Yeah, it's a good question. And by the way, I've been on mute for my last two townhalls. So the first 30 seconds, so as a reference to everybody. In front of1800 employees, it's not great. But it's the feature. So Datto Commerce I think as a platform, is currently in vision is absolutely going to stay sell through. Is it possible, down the road that MSP said, Hey, we have larger clients kind of co-manage situations, they'd like to quote. Maybe you're serving an IT staff, it's possible. You see, occasionally RMM get extended a little bit like that PSA get extended a little bit like that. But, now you're into the enterprise realm, and you're really competing with a whole bunch of different platforms that are much more tailored. So I would think about it as a sell through. That said, we've called RMM a quasi-sell through. And as much as once you give it to an MSP and get them up and running. When they add new clients, they add new seats and therefore in a way they are selling it through even though they probably just put it into their base fee. So they're getting paid by using a great RMM tool. And I think the same thing happens here. As they go streamline the purchasing flows of their clients. There's no question that shores up their base fee. I'm not sure in the first year or two that there's a line item on the clients bill that says Datto Commerce marked up for something. There's probably more in that base package. And then there are other things in that base package too, including just the MSPs time. So we would tend to call it sell through. But it's probably in that category of quasi sell through.
Gregg Moskowitz: Okay, that makes a lot of sense. Nice, Tim. And then just for John. I apologize if I missed it. Did you make any comments? Or if not, I guess, can you provide any color around NRR or dollar-based gross retention?
John Abbot: Sure. Hey, Gregg. Yeah, we did not - we didn't talk about NRRs. As we've said, a net revenue retention is a metric that will report on an annual basis. It's a lagging indicator. You may recall that it was 111% as of the end of 2020. And we've talked about how that like other lagging indicators, revenue growth, really would during the year last year were declining, and would bottom out in Q4 last year, Q1 this year before they started turning back up. Because we had the last the Q2 lows - COVID Q2 lows of last year. And so we believe, that we passed the low point. And we're starting to move back up basically.
Gregg Moskowitz: All right, perfect. Thank you.
John Abbot: Yep.
Operator: Your last question comes from line of Brent Thill with Jefferies.
Unidentified Analyst: Hey guys, Joe on to Brent, really appreciate the question. Just want to double click into the international markets. It looks like that area grew almost three times as fast as domestically. Was there anything to call out there?
Tim Weller: I wouldn't say - go ahead John.
John Abbot: Yeah, one thing I was actually looking at that right before the call. Because I thought that might come up looking for my notes. But it was - remember all the FX impacts would be in that international segment. So while that growth ballpark added here 30%. That FX impact would have a greater impact on that smaller number than it does on the total. So that's the only thing I would highlight.
Unidentified Analyst: Okay, I mean -
John Abbot: It's still growing very nicely and growing faster than the U.S. but a bigger tailwind from the FX.
Unidentified Analyst: Okay. That's helpful. And then guidance implied a healthy decel in the second half of the year, which I assume is a mix of FX and conservatism. But can you help provide some guardrails on how to think about subscription and devices? And if devices revenue will be ahead one throughout the year?
John Abbot: Sorry, you mean if device revenue will be a headwind?
Unidentified Analyst: Yeah. Just the implied mix as we move throughout the year, right.
John Abbot: Yeah. I mean, I think we still would expect subscription revenue to be well north of 90% of the mix. And if we think about the back half of the year, we're optimistic. And I think we all expect the environment continue to improve. And we expect our core BCDR business to continue to improve and grow. And obviously, we have strong momentum in SaaS protection and RMM. I think we pointed out current two will be at least in our guidance. We expect it to be a little bit less of a tailwind in the second half than the first half, as you pointed out.
Unidentified Analyst: Awesome. Thanks, guys. Congrats on the results.
John Abbot: Thank you, Joe.
Operator: There are no further questions at this time. And I'll turn it back over to Ryan Burkart for any closing remarks.
Ryan Burkart: Thank everyone for joining the call today. We really appreciate your interest in Datto. And we look forward to speaking with everyone again soon. Thanks all.
Operator: This concludes today's conference call. Thank you for participating. And you may now disconnect.